Operator: Good afternoon, everyone. Thank you for participating in today's conference call to discuss Jones Soda's financial results for the first quarter ended March 31, 2023. Before we begin, let me remind everyone of the company's safe harbor disclaimer. Certain portions of our comments today will concern future expectations, plans and prospects of the company that constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements containing verbs such as aims, anticipates, estimates, expects, believes, intends, plans, projects, will, may, continue, projects or targets and negatives of these words and similar words or expressions. Forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements.  Factors that could affect our actual results include, among others, those that are discussed under the heading Risk Factors in our most recently filed reports with the SEC, including our annual report on Form 10-K, our quarterly reports on Form 10-Q and our current reports on Form 8-K. In addition, this call includes discussions of certain non-GAAP financial measures, including adjusted EBITDA. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on the company's website under Investor Relations. I would like to remind everyone that this call will be available for replay through May 11, 2023, starting at 7:30 p.m. ET 29. A webcast replay will also be available via the link provided in today's press release as well as on the company's website. Now I'll turn the call over to the President and CEO of Jones Soda, McMurray.
Mark Murray: Thank you, operator, and thank you, everyone, for joining us today. As we entered 2023 chasing our 11th consecutive quarter of year-over-year revenue growth, we knew we had our work cut out for us given how well we performed in Q1 of last year. If you recall, revenue in Q1 of 2022 grew 58% to $4.5 million. aided by an outsized benefit from a onetime inventory stocking event with one of our largest customers in our core bottled soda business. While we certainly like to set our aspirations high here at Jones Soda, this was a challenging quarter to compare against, and we weren't able to show year-over-year revenue growth. However, we are by no means disappointed in the quarter's results. In fact, we still experienced sequential revenue growth from Q4 with continued positive momentum across all channels while delivering improvements to our margin profile and bottom line. We are proud to report a 200 basis point year-over-year improvement in our gross margin for Q1 and a total increase of 1,040 basis points over the last 11 quarters. Furthermore, we made strides in optimizing our operations, leading to a decline in operating expenses and a bottom line that is getting closer to breakeven.  Now I want to address pricing right off the bat. Throughout the quarter, pricing in our core bottled soda business remain top of mind across all our accounts given the persistent inflationary environment that we continue to operate in. We have strategically implemented price increases to help offset unpredictable cost increases within the supply chain. While pricing is absolutely necessary to offset cost and maintain margins, we are acutely aware that persistently high prices can have a negative impact on our customer demand in the long run. Later on the call, I'll dive into great things we are doing to keep our consumers engaged across all channels, but I want to reiterate that we plan to continue to strategically manage pricing promotions and trade spend to ensure our efforts in dollars align with our sales velocity objectives as well as maintaining and increasing margins.  Overall, we are pleased with the progress we made in expanding our business with new and existing customers during the first quarter. Despite today's market challenges and the uncertainties around the current economic outlook, we remain confident that we are continuing to position Jones Soda and Mary Jones for long-term health. During this call, we will provide a detailed update on our sales performance, marketing initiatives, supply chain and operations. We will also provide an update on the exciting development with the expansion of our cannabis business. Finally, we will address the questions submitted by shareholders over the past few weeks. Before I dive in, I'd like to hand the call over to Joe to discuss our financial results for the first quarter in more detail. Joe?
Joe Culp: Thank you, Mark, and good afternoon, everyone. Net revenue in the first quarter was $3.9 million compared to $4.5 million in the first quarter of 2022. As Mark mentioned earlier, the decrease was largely due to a onetime inventory stocking event with one of our largest customers during the first quarter of 2022. The decrease in net revenue was partially offset by the continued expansion of our cannabis business, which generated approximately $200,000 in revenue during the first quarter. Gross profit as a percentage of revenue increased 200 basis points to 29.3% compared to 27.3% in the prior year period. The increase was primarily due to strategic pricing adjustments across our portfolio and lower freight costs during the quarter.  Operating expenses in the first quarter were $2.5 million compared to $2.7 million in the same quarter a year ago. The decrease was primarily due to lower marketing and general and administrative costs. Driving this decrease was our continued progress with our efforts to bring more marketing initiatives in-house and eliminate several outsourced agencies. Net loss in the first quarter was $1.4 million or negative $0.01 per share compared to a net loss of $1.7 million or negative $0.02 per share for the same quarter of 2022. The improvement in net loss was primarily driven by increased gross profit margin and decrease in total operating expenses.  Adjusted EBITDA in the first quarter was negative $1 million compared to negative $1.1 million in the year ago quarter. The improvement in adjusted EBITDA was primarily due to the previously mentioned improvement in gross profit margin and lower total operating expenses during the period that mostly offset reduced revenues. Now moving on to the balance sheet. As of March 31, 2023, cash and cash equivalents were $6.4 million compared to $8 million at December 31, 2022. Working capital was $10.5 million at March 31, 2023, compared to $11.6 million on December 31, 2022. Now I'll turn the call over to Mark, who will give further detail into the factors that contributed to these results and the overall progress we are achieving at Jones. Mark, back to you.
Mark Murray: Thank you, Joe, for providing a recap of our first quarter financial results. Now let's turn our attention to our sales performance. While facing a challenging year-over-year top line comparison, we remain confident in our ability to drive long-term sales growth through the continued expansion of our core soda business. We are proud to announce that we achieved a pivotal milestone during the quarter by securing our first national listing with our Root Beer flavor, which will be available in over 2,000 Kroger locations across the United States.  To align with changing consumer demand, progress moved back to offering our products in singles instead of multipacks, allowing consumers to access our products at a lower price point and adapt to a weaker consumer spending environment in the category. During the quarter, grocery sets were reconfigured to support these changes, which included our placement back into coolers at over 800 Kroger locations. Lastly, details were finalized to roll out a robust promotional plan for the year, which leans into our popular 2 for 3 strategy to boost volume and increased velocity.  Moving on from Kroger. We are pleased to see expansions and pickups across several new and existing customers throughout the quarter. At Target, we continue to expand our store count to nearly 1,100 locations curing 4 flavors, including our special release. We believe this will drive incremental excitement in store with the goal of increasing sales for both Target and Jones Soda. We continued to make strides with Walmart, where we picked up additional stores and secured the distribution of our special release program at participating locations. We were obviously strongly encouraged by our sales momentum at Meijer, where we significantly exceeded our internal sales velocity expectations. Our customers at Meijer have provided excellent feedback on our products and are pleased with the variety of flavors we have available on the shelf. We secured sales volume commitments from Dollar Tree in 7-Eleven Canada through Q3 and the end of 2023, respectively, and it's encouraging to have these commitments already in the books. Now turning to some of our new customer relationships. We are making progress launching a large customer, SpartanNash, which we expect to add a meaningful number of stores with a target of 145 stores and 5 items to our overall distribution network. We were also approved byÂ Wakefern Foods Corporation, the largest retailer-owned cooperative of supermarkets in the United States for the placement of 5 SKUs in their deli as well as ourÂ Lemoncocco branded products in conventional grocery. We are pleased with the performance of Lemoncocco, which we continue to believe has the potential to become a significant part of the overall portfolio.  With our growing momentum in the Canadian market, we were able to secure 3 new key customers in Canada through a new distributor, adding more than 270 stores to our distribution. We recently featured Lemoncocco and Jones Soda at several national trade shows that will support our efforts to expand our business in foodservice, alternative channels and our international business. We secured several hundred leads from these shows that we believe will drive short-term and long-term growth during 2023 and into 2024.Attending these trade shows has proven to be a valuable investment in our time, and we strive to capture niche markets and explore alternative channels for growth. I believe our attendance at these selective events is crucial in expanding our reach and enhancing our presence in previously untapped markets.  Now let's talk about our latest marketing initiatives. During the past quarter, we remain committed to streamlining our marketing initiatives in-house as we aim to decrease our overall operating costs and reallocate dollars to working for the brand. As part of this plan, we enacted all of our staffing changes that we have discussed on previous calls, including winding down agreements with several agencies. This not only shows our focus on prioritizing cost efficiency that demonstrates our team's ability and commitment to execute large-scale marketing initiatives with a much more efficient use of our capital.  As always, our special release program was a catalyst for growth and excitement at Jones Soda. With our marketing team continues to find fun and create ways to support. In addition to our key Lime Pie flavor, which has been actively circulated in the market, our upcoming special release Hatch Chile Lime has already started to generate buzz for the brand. As the first special release offering to feature our augmented reality technology on the labels, we look forward to continued engagement around this unique flavor, which is just hitting the stores now.  Our marketing ecosystem has always been a vital part of the Jones story, and we continue to focus on innovative tactics for delivering best-in-class experiences to our customers. The strength of the Jones brand and the cultural significance that it carries with our customers remains strong, which continues to be the key component of our marketing strategy. We continue to allow our products to speak for themselves and create their own news as our social media presence and online communities continue to grow organically. Overall, we are encouraged by our marketing team's ability to garner long-term support from the Jones community and successfully strengthen our brand equity in ways that are mindful of our ongoing need to manage budgets and reduce costs. We are excited to see what our marketing team is in store for the future, and we are confident that their passion and expertise will continue to fuel our growth and success. Now let's shift our focus to our operations.  I am very pleased to report that we achieved a remarkable fill rate of 98.5% during the quarter, demonstrating our ability to deliver the products that our customers eagerly anticipate promptly and consistently. As always, we continue to closely monitor our supply chain, and we are pleased to see that it is starting to normalize in some areas, including providing some relief in freight costs. However, we are not immune to the shared economic pressures faced in the entire industry, and we do still face challenges with increasing ingredients, material and warehousing costs.  Fortunately, despite the lingering impacts of the global pandemic and supply chain crisis, we do sense that our supply chain is starting to move back to a state of normalcy. Even so, we continue to be vigilant in our ongoing efforts to manage costs and improve margins, and we continue to utilize strategic pricing adjustments across our product portfolio. All in all, it's clear that our success lies in meeting the demands of our customers with timely and reliable product delivery, and we are proud to deliver strong results in this regard.  Now let's dive into the cannabis business. As mentioned on our last call, we decided to enter the cannabis market for several reasons, such as leveraging our brand equity and flavors and adjacent channels, diversifying our product portfolio, venturing in a high-growth category and offering high-margin products. On this note, we remain confident that we made the right decision, and we have an exceptional team in place to continue to expand the Mary Jones brand. During the quarter, our cannabis business continued to gain momentum in California, where we are the top-performing beverage and sales in the 10 and 100 milligram format. Our California distribution now covers over 300 stores, and we are surpassing both industry benchmarks and our internal projections. Moreover, we are expanding our core flavor portfolio to 6 unique items withÂ Grape and Cola joining our lineup, both slated to hit the shelves in June. As we grow our Mary Jones offering, it's worth noting that these new flavors will be available in additional states as we expand our reach.  During the quarter, we were encouraged to see many of our locations in Northern California reporting increased volume and demand. Because of this, we have decided to increase our resources to support a more high-touch retail approach within these locations. This is a primary example of our proactive management style, which I believe has allowed us to stay ahead of the dynamic consumer trends and control our own destiny. We recently ran a synergistic promotion with our core bottled soda business during the 4/20 holiday, offering both our cannabis infused and regular sodas at a discount for those purchasing pre-rolled joints at dispensaries. This created promotion usually most directly associated with smoking cannabis served as a fun reminder to our customers that Jones Soda is an excellent complement to pre-rolled joints found at dispensary.  Touching on one of our newer cannabis products are Syrup, which we launched last quarter, have been performing particularly well on the premise applications and is currently a featured mixer atÂ Woody Harrelson consumption lounge, the Woods and LA. Our customized drivable electric coolers continue to be popular feature at the cannabis consumer events. These have been painted by notable graffiti artists and designers throughout California and the colors of our delicious sodas and are used to pass out samples and have fun throughout the market. We're also making steady progress in the early stages of the edible products and expect to have them on shelves beginning in Q3.  Now I'd like to give an update on the regional expansion plans that we have previously announced. Our progress outside of California has been very promising, and we are on track with our planned expansions in Washington, Michigan and Nevada. Recently, we received an approval from the nutritional Board for our formulations in packaging in Washington, which is a significant milestone as we are nearing the finish line and preparing for production in our home state. Washington has been at the forefront of legalization since 2012, and we believe it is a critical market for us to establish and grow the Mary Jones business.  We are confident that as we enter this market with a full portfolio of products, our carefully crafted items will resonate with our consumers. In Michigan, we are following all necessary regulatory processes to the latter. And our Mary Jones products are officially under review in accordance with the recently revised regulatory process. We believe by adhering to the strict regulatory standards of California and Washington, we are well positioned to navigate Michigan's regulatory process. Our products are designed to meet the strict regulatory standards, which we believe well positions us to enter into different markets and demonstrates our mature approach to strategic expansion. We also believe we are approximately 6 weeks away from manufacturing readiness in Nevada.  While we are already seeing encouraging results in California, and we believe our potential for growth in new states is robust, we are confident that we are on the cusp of expanding the footprint of Mary Jones into several more territories, and we are optimistic that as we scale our cannabis business, our growth trajectory will continue to improve. We remain confident that our decision to pivot into this space and leverage our brand equity, has proven to be the right choice, and we believe it will be instrumental in the future growth of the organization. As we look towards the next chapter of Jones Soda, our focus remains on leveraging our brand equity to drive revenue growth and profitability and high growth in lucrative channels. While our cannabis business may not have resulted in material revenue growth as fast as we initially expected.  We are still pleased with our decision to enter the space and eagerly anticipate the impact we expect it will have on the organization in the second half of the year. However, we're not content to stop there. We are actively developing several work streams to expand our reach in alternative channels. Although it is still too early to share any details on this call, I am excited to share more on this in the upcoming quarters.  So let me recap the call. One, our core bottled business continued to generate momentum as we expanded partnerships, added new points of distribution across all channels and leveraged our promotional dollars to drive consumer demand. Two, we secured our first national listing through Kroger for our Root Beer flavor to be sold in more than 2,000 stores. Three, our marketing team continues to be proactive in finding creative ways to maximize the impact of our marketing spend. Additionally, we successfully executed our previously laid out in-house initiatives, leading to ongoing cost savings.  Four, we continue to closely monitor our supply chain and delivered a fill rate of 98.5% during the quarter, ensuring we are serving and meeting the demands of our customers. Five, we believe we are gaining momentum in the cannabis business and planning to expand into three additional markets. Based on our current success in California and the strong foundation we have built, we are confident that we will replicate the success in these new markets. Next, we are actively developing several work streams to expand our reach into alternative high-growth channels. More details on this to come.  With a talented team and a solid strategy, we are confident in our ability to continue delivering results and unlocking the full potential of Jones Soda. Our focus is on achieving long-term success, and we are fully committed to executing upon the benefit for our shareholders by continuing to innovate and drive growth in the core bottle business, expanding our footprint in the cannabis industry, we believe we are well positioned to capture high-growth opportunities and drive shareholder value. With that, I'll turn the call over to Joe for prepared Q&A.
A - Joe Culp: Yes. Before wrapping up the call, Mark and I would like to address some of the questions we've received from investors via e-mail over the past few weeks. We have selected what we believe to be the most important and relevant questions to answer. So starting with the first question. What trends are you observing in the broader macro climate with regard to inflationary pressures and suppressed customer spending power? And how do you anticipate these will affect the company in the short term?
Mark Murray: This is a great question, and we started fielding similar questions a year ago. There is no denying that inflation is real and consumers are being asked to spend more on goods and services. This will obviously put pressure on discretionary income and force consumers to make choices. It can also be said that craft soda does not typically fall under the necessity bucket. So how will these macroeconomic factors impact our business moving forward. Although we do not have the luxury of buying the large amount of syndicated data, we are able to get some very good insights from our partners. We meet with our key customers every month to discuss the prior 4 weeks volume. In Q2 of last year, we started to see velocity slowing down at the store level.  Overall, the organization was still showing very good growth because we were adding new customers and new points of distribution to offset the impact of lower velocities at certain retailers. Although the decrease was not across the board, it's fair to say there wasn't an inflationary impact. At the end of the year, our revenue at some of our key retailers was up, but our units were down. Although we're still outpacing the category, we needed to get very strategic and aggressive with our promotional activity to maintain velocities and protect share, and we did.  By the end of the year, it was starting to feel like things were normalizing, and velocities are starting to level off. As we moved into Q1, volume relative to units was still a little soft. This goes back to a comment I made earlier in the prepared remarks, we will monitor volumes at the customer level and make sure we are strategically spending our marketing and promotional programs to drive velocity and awareness. We are very engaged with our key customers, and we are prepared to do what it takes to keep the business growing.
Joe Culp: Okay. Question #2. Can you provide any detail on the new composition of the Board and talk through Jamie Colbourne's recent departure?
Mark Murray: Sure. First, I'd like to express my gratitude to Jamie for his dedication to the company and his efforts in elevating Jones Soda during the last 3 years. Jamie was instrumental in helping turn Jones Soda around. Jamie has a lot going on. So after 3 years, he wanted to free up some time for other opportunities. We are thankful for all his efforts and great work, and I wish him the best as he pursues other opportunities. As far as the Board composition, we currently have side members on the board, which includes me. We are very happy with a number of Board members and their diversified skill set. However, we are talking to several candidates that have a strong financial background that could chair our Audit Committee.
Joe Culp: Okay. Question 3. How do you expect industry pricing trends to impact your bottom line over the course of the year?
Mark Murray: As I mentioned earlier, we anticipate some tailwinds from broader pricing trends in the back half of the year, which should provide some support to our margins. Whether this comes to fruition largely depends on what happens with cost for the balance of the year and how much we'll need to spend back to maintain our velocities off the shelf. As we discussed with regards to inflation, the consumer's wallet has been under pressure. And until we observe how the macro landscape continues to develop, it's challenging to predict how this will impact our bottom line moving forward.
Joe Culp: Okay. Question 4. Taking into account the progress you've made in broadening the cannabis portfolio in points of distribution, could you provide some insights into when cannabis revenue will become a more meaningful contributor to your financials?
Mark Murray: Well, you're right in acknowledging that we've been actively expanding our cannabis business to encompass a wide range of products and we've been increasing the footprint of our cannabis brand, Mary Jones. Every time we add a state or expand the portfolio, the business is 100% incremental from a revenue and profitability perspective. So as you look out over the balance of the year, each month gets better, each quarter gets better, and we are excited about the run rates we see through the end of the year. As we said, it is coming slower than what we wanted, but it is coming and it is real, and it will have a major impact on the organization in the future.
Joe Culp: All right. Thanks, Mark. This concludes our Q&A session. We'd like to thank everyone for listening to today's call, and we look forward to speaking with you when we report our second quarter of 2023 results. Thanks again for joining us.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.